Operator: Good afternoon, ladies and gentlemen, and welcome to the Gray Media Q1 Earnings Call. [Operator Instructions] And without further ado, I will now turn the program over to our Chairman and CEO, Mr. Hilton Howell Jr.
Hilton Howell: Thank you, operator. Good afternoon, everyone. As operator mentioned, this is Hilton Howell, Chairman and CEO of Gray Media. And I want to thank all of you for joining our first quarter 2025 earnings call. With me here in Atlanta, as usual, are all of our executive officers: Pat LaPlatney, our President and Co-CEO; Sandy Breland, our Chief Operating Officer; Kevin Latek, our Chief Legal and Development Officer; and last but not least, Jeffrey Gignac, our Chief Financial Officer. And also as usual, we will begin with a disclaimer that Kevin will provide.
Kevin Latek: Thank you, Hilton, and good afternoon, everyone. Today, we filed with the SEC on Form 8-K, our earnings release and an updated investor slides. Later today, we will file with the SEC our quarterly report on Form 10-Q. These materials will all be available on our website, which is www.graymedia.com. Included on the call may be a discussion of non-GAAP financial measures, in particular, adjusted EBITDA, leverage ratio denominator and certain leverage ratios. These metrics are not meant to replace GAAP measurements but are provided as supplements to assist the public in its analysis and valuation of our company. Further discussions and reconciliations of the company’s non-GAAP financial measures to comparable GAAP financial measures can be found on our website. All statements and comments made by management during this conference call other than statements of historical fact should be deemed forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements as a result of various important factors that are contained in our most recent filings with the SEC. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Now I’ll turn the call back to Hilton.
Hilton Howell: Thank you, Kevin. Today, we are very happy to announce that our results for the first quarter of 2025 finished much better than our guidance on both revenues and expenses. Total revenue in the first quarter of 2025 was $782 million, a decrease of 5% from the first quarter of 2024 and 1% above the high end of our guidance for the quarter. Total operating expenses before depreciation, amortization and gain on disposal of assets in the first quarter of 2025 were 1% below the low end of our previously announced guidance. Net loss was $9 million in the first quarter of 2025 compared to net income of $88 million in the first quarter of 2024. Adjusted EBITDA was $160 million in the first quarter of 2025, a decrease of 19% in the first quarter of 2024. Recall that last year’s first quarter included the $110 million gain on the sale of our interest in BMI, the very strong Super Bowl results across our large CBS station portfolio and an extra billing day during leap year. Political advertising was obviously lower than the first quarter of 2024, yet first quarter 2025 political finished well above our expectations for an off-cycle year. In addition to these operating results, we continue to make progress in strengthening our balance sheet in the first quarter. During the first quarter, we continued to improve our commitment to deliver by reducing our outstanding indebtedness by an additional $17 million. We finished the first quarter with a lower leverage ratio as defined in our senior credit agreement from where we began the year. And we will continue to use our free cash to reduce our leverage, respectively. On March 31, 2025, we announced the extension and increase in size of our accounts receivable securitization facility, along with an increase in the size of our revolver. This enhanced liquidity allows us to continue executing on our deleveraging plan. I am particularly proud of the support that we have received from so many of our commercial banking partners and their confidence in our future. As noted in our press release this morning, our Board of Directors declared the usual $0.08 per share quarterly dividend. By now, everyone is aware of the new regulatory tone coming from Washington. Like always, the Board will consider capital allocations each quarter in light of opportunities to deploy capital for growth. Operationally, we continue to enhance our local content offerings in the first quarter of 2025. We continue to enter into new sports rights agreements to bring more local sports back to our local stations. In just 2 years since announcing our innovative deal with the Phoenix Suns and Mercury, we now have our own local and regional sports deals covering nearly 80% of all of our markets. These broadcasts are, of course, in addition to the professional sports provided by our network partners. The combination of our premier local news franchises with local sports, make our local stations even more relevant and more valuable than ever. Our stations and our people continue to receive national recognition for their outstanding journalistic efforts. We recently announced a host of awards across our group: WANF in Atlanta and WVUE in New Orleans. Both received nominations for the 46th Annual News & Documentary Emmy Awards in Outstanding Regional News Story: Investigative Category. WIBW in Topeka, Kansas won the prestigious Service to America Award for small market television for their campaign, Hear me. See me. highlighting mental health issues. WANF in Atlanta, WAVE in Louisville and InvestigateTV, Gray’s national investigative unit, all received National Headliner Awards. And lastly, our very own Sandy Breland sitting to the right of me right here, was named the 2025 John F. Hogan Distinguished Award winner by the Radio Television Digital News Association for her unwavering dedication to journalism and freedom of the press. The momentum at Assembly Studios also continued in the first quarter of 2025. The new CBS soap opera called Beyond the Gates, which debuted in February, has seen strong ratings and created a buzz not only on site at Assembly, but across our large portfolio of CBS network stations. We are thrilled, absolutely thrilled to be hosting many other high-profile movie and streaming productions at Assembly Studios and are constantly working to bring more productions to our sound stages. As from the Assembly Studio gates, we are working with other companies who are actively investing their time and their money to bring to life other parts of our Assembly Atlanta development. We expect to have more announcements about these exciting plans later in 2025. As we have said repeatedly, we have seen tremendous interest from potential development partners who could contribute their financial resource and development expertise to accelerate value creation at Assembly Atlanta. We’ve had a very busy start to 2025, and we are excited about the expanding avenues to enhance the value of all of our businesses. At this time, I’d like to ask Pat to address our operations.
Pat LaPlatney: Thank you, Hilton. On our fourth quarter call, we spoke about the cautious tone among our advertisers, especially within the automotive category. The daily developments regarding trade and tariffs have continued to foster uncertainty among advertisers and hindered our ability to forecast as we’ve done in recent years. Yet despite this backdrop, we’re pleased with our first quarter results. As expected, our core advertising revenue for the first quarter of ‘25 finished down 8% versus the first quarter of ‘24 and right in the middle of our guidance range. Remember, about half of our decline in core or $9 million is attributable to the Super Bowl airing on our 33 FOX channels in 2025 compared to our 54 CBS affiliates in 2024. On the positive side, our FOX channels were up 50% versus the prior FOX Super Bowl with $9 million of core ad revenue in 2025. From a category perspective, automotive came in as expected, down high single digits. For the second quarter, auto is still tracking down high single digits as we continue to see the uncertain macroeconomic conditions impacting advertiser confidence. We see continued high interest rates also weighing automotive demand. Other categories linked to consumer discretionary spending like restaurants and department stores were soft, while more essential categories like education and financial services performed better. From client conversations, we also believe that some categories saw a "beat the tariff effect" including automotive. There were a few bright spots. Legal was up a couple of points and has grown to a low double-digit category for us. We have a dedicated team focused on the travel and tourism vertical but while a smaller category grew nicely on a year-over-year basis and continues to trend higher, digital was again up double digits, which is encouraging. Finally, our new local direct business grew slightly in the first quarter of 2025. Given the economic uncertainty, we’re very pleased that our multimedia sales teams are continuing to grow our new advertiser base. A very bright spot in the first quarter of ‘25 was political ad revenue. Our guide for the first quarter of ‘25 was $2 million to $4 million, while our actual results came in at $13 million. Most of this revenue was generated in the competitive Supreme Court race in Wisconsin, where our stations cover most of the state. We saw meaningful spending in the panhandle of Florida and the race for Matt Gaetz’s former congressional seat. We also benefited from a few special elections in the first quarter. And finally, we are seeing its political ad buys now for primaries that are a year away, in one case, for a general election that’s 18 months away. Hilton touched on our sports efforts, with 80% of our footprint now carrying local sports. That equates to 90 of our television stations. We’re very excited to watch that part of our business grow. Providing guidance for the second quarter of ‘25 or for the year in the current environment is particularly challenging. Based on current conditions, we’re guiding second quarter core ad revenue to be down mid-single digits. The NCAA Final Four and Championship Game on CBS provided about a $5 million benefit in early April. Across categories in the second quarter, we’re seeing a mixed bag with some categories like automotive and restaurants pacing lower and some pockets of strength still in legal consumer goods and entertainment. Jeff will now address the key financial developments.
Jeffrey Gignac: Thank you, Pat. As Hilton mentioned earlier, reducing leverage remains our top capital allocation priority, and we made more progress in the first quarter. We finished the quarter at 2.92x secured leverage and 5.48x total leverage, each as defined in our senior credit agreement. We’re optimistic that the more relaxed regulatory environment that has been discussed extensively the last few months could present opportunities to accelerate our deleveraging efforts through M&A later this year. Going forward, we and the Board will continue to evaluate our capital allocation priorities in light of our financial position, capital needs and other appropriate factors each quarter. On March 31, we increased our AR securitization facility funding availability by $100 million to a total of $400 million and extended the maturity to March 31, 2028. Pricing on the AR facility increased slightly by 15 basis points to SOFR plus 125 and at the same time, we increased our revolver availability by $20 million to a total of $700 million. Together, these facilities provide access to over $1 billion of availability, which we can use to address any challenges or opportunities that present themselves. Historically, first quarter is the lowest cash generation quarter of the year. Nonetheless, we were able to reduce the principal amount of our outstanding indebtedness by $17 million through a combination of par repayments and open market activities. At quarter end, we had $240 million remaining on our debt repurchase authorization, and we will continue to be nimble and thoughtful as to when, where and how we deploy our liquidity to utilize this authorization. As previously reported, starting in April of this year, we believe we are now exceeding the $60 million annualized run rate of cost savings from last fall’s cost containment initiatives. We expect to see the benefits of those actions as we move through 2025. And recall that there is very little, if any, of that benefit reflected in our current leverage ratio calculations as outlined in our senior credit agreement. In fact, our first quarter 2025 total operating expenses actually decreased versus first quarter of 2024 despite some normal inflationary type growth working in the opposite direction. And our Q2 guide is that expenses will remain below inflationary levels. It’s the first time since the COVID slowdown that we posted lower first quarter broadcasting operating expenses than we had in the prior comparative year period. First quarter of 2025 was also the fifth consecutive quarter in which our network affiliation fees did not exceed the levels of such fees in the comparative prior year quarter. This concludes my remarks, and I’ll now turn the call back over to Hilton.
Hilton Howell: Thank you, Jeff. In closing our formal remarks, Gray is continuing to take necessary actions to make the investments needed to meet the challenges and seize the opportunities in our ever-changing industry. Our strong station portfolio provides incredible value to our advertising clients. We continue to enhance our balance sheet and financial flexibility, and our team is making creative and smart investments to expand and engage with our audiences. Perhaps most importantly, we are energized by the possibility that the government may at last allow local broadcasters to compete on a more level playing field with all of our competitors. We thank everyone for joining the call today. And so operator, at this time, we ask that you open the line for questions for any of us.
Operator: [Operator Instructions] First up, we have Dan Kurnos.
Dan Kurnos: Great. Afternoon. Maybe we’ll start, Hilton, Jeff. Obviously, everybody is talking about dereg right now. I think we heard the word flexibility about 15 times in the prepared remarks. How creative could you guys get if you saw something attractive? What are the most attractive options to you in market if that were to change, getting bigger? Would you have to sell anything? Maybe just I’ll open it there and then I’ll ask a follow-up.
Kevin Latek: I think actually, everyone was talking about the new pope. I don’t think you’re talking about earnings...
Dan Kurnos: You mean the new post of Donald Trump, Kevin?
Kevin Latek: It wasn’t me, so you’re lucky. We’re looking at lots of things, Dan, as is everybody else. And we’re looking for our smoke signals from Washington on what may be allowed, and we’re getting some good white smoke signals that the environment will be much better, allow us to probably enter into swaps to create new duopolies or improve our strategic position. But we’ll have to wait and see. Those as are, as you’ve talked about, those are pretty complicated. We’ll need government – we’ll need waivers or new rules to facilitate some transactions, but we’re actively pursuing everything, and I think our peers are all doing the same thing.
Dan Kurnos: Can I ask you, Kevin, I mean, I think Perry kind of addressed this earlier with the Simington Op-Ed piece, but you guys distinctly are in sort of the public lens as it were as you go into your reverse negotiations, your affiliate negotiations in the back half of this year with your fixed fee partners. I mean I don’t think anyone takes that number necessarily seriously, but it is a clear shot at the networks. Does it have any impact bearing on the outcome or your view as you address your affiliate negotiations?
Kevin Latek: We’re not going to comment on Simington’s piece. I’ll leave that for other folks to do. What we would say is that we are encouraged by comments from the Chairman, from Commissioner Simington and from others about the importance of local news and local broadcasters. It’s a refreshing change of tone, and we think it bodes well for the future.
Dan Kurnos: Okay. I mean those are my questions. I’ll just say one last thing, Jeff. Well done on the expense side. It looks like it’s pacing much better than anticipated. So, kudos on that front. Thanks, guys.
Jeffrey Gignac: Thank you.
Operator: Alright. Next up, we have Aaron Watts.
Aaron Watts: Hi, everyone. Thanks for having me on. Two questions. First, just a follow-up on industry consolidation. On the end market opportunities that you may explore, can you remind us what type of margin lift you get from creating a new duopoly or improving your presence in any given market?
Kevin Latek: Yes. Aaron, I think we’ve talked about this it seems like 100 times in the last year. In our experience of creating lots of duopolies over the last 12 years, there is no number you can put on it. I appreciate other folks have been able to do that. We have bought from small family publishers. We’ve bought from private equity. We’ve bought FOX affiliate, and we’ve bought Big 3 affiliates. We’ve bought large markets and bought in small markets. And the margin improvement varies equally based on what we are buying in what kind of market, the strength of our station and the strength of the other station. So we’re not – in our experience of having a number of duopolies across our company, I think we’re somewhere – I think we have a few dozen of them. I would say that the margin improvement varies from a little to quite a lot. But we’re not – we don’t see – we don’t see a precise range of a certain number of basis points because the variability is all over the place. And we are not shopping in just one type of duopoly. We would like to see duopolies in many markets. And some of our best opportunities will be at both ends of the spectrum. So we’re looking to grow the company, delever through these transactions, improve the company’s profile for the long term, but we’re not going to be focused on just trying to achieve a certain basis point uplift or we’ll walk away.
Hilton Howell: Aaron, this is Hilton. Let me add one thing to that. No matter what we would do with regard to end market consolidation, it does a couple of things. It’s inherently universally positive in terms of saving money, but it also gives us, because we are so focused on the delivery of local news, local content, local sports, you’ve got to give the audiences something to view. The consolidation allows us to compete with the really huge tech giants that are actually taking about 80% of the local ad market. And so, consolidation is an all-in-all positive for the entirety of the broadcast business. And we’re very excited. I think Kevin is hesitant because every deal is different, and every market is different. And that’s one of the things we love about this business. But from our standpoint, it allows us to do our core business, which is reporting local news, providing now in the last 2 years, local sports and community involvement and connection.
Aaron Watts: Yes. That makes sense. Thanks for that, Hilton. And if I could ask just one more on the advertising side, as you sit today, are you seeing actual cancellations or is it more just a hesitancy to book or delaying ad buys? And aside from lapping political crowd out that you had last year in the second half of this year, any reason for optimism in key core verticals that they can start to gain momentum as you roll into the back half of this year?
Pat LaPlatney: Yes. So Aaron, it’s Pat. On the first question, it’s the latter. So we are not seeing cancellations. We are seeing some hesitancy. But it’s not in any way overwhelming. And in regard to the second half of the year, look, the services categories, as we talked about, so legal, health, home improvement, those categories are now upwards of a third of our business and they are sort of less impacted by the tariffs. So I think that’s some reason for optimism. But the reality is there is just so much uncertainty out there, it’s really hard to forecast. I would say if there is a single category that has upside, I think it’s political. We saw it in the first quarter we are going to see some of it in the second quarter. As we noted in our remarks, we’re seeing some money for races that are a year, 18 months out right now. And we – breaking news here, we just saw some more this morning in the state of Georgia, which we frankly didn’t anticipate. So I’m not sitting here to tell you – I’m not ready to tell you that we’re going to do as well in second quarter political as we did it first, but we’re pleasantly surprised with what’s going on right now in political.
Sandy Breland: Aaron, Pat referenced this in his remarks, but despite the uncertainty in headwinds, we did grow our new local direct business in first quarter. And that’s really a credit to our strong sales teams and our training team that you’ve heard us talk so often about.
Hilton Howell: Well, and Aaron, this is Hilton. Let me add one more thing to this, too. Today is kind of a propitious day in a lot of ways. But the President announced a trade deal with United Kingdom. And I think that is the beginning of the reestablishment of – hopefully, of stability with regard to all your guys’ markets and our ad market. Because so many of our clients are pulling back because they really don’t know what the cost of goods sold of their products are right now. And that makes anyone a little nervous to take an ad out and price what they are going to do for a new Chevy, alright. So I think today is a great day. And I think by the time we are at this hall in a quarter from now, we are going to have a lot more clarity.
Aaron Watts: Yes, makes sense. Okay, thanks so much.
Operator: Alright. Excuse me, next up, we have Patrick Sholl. [Operator Instructions] And with that, Patrick Sholl, your line is now open.
Patrick Sholl: Hi, thank you. Just circling back on political, are there – can you maybe talk about some of the puts and takes between the 2026 cycle and the 2022 midterm that we should think about or if you have any like overarching thoughts on the cycle?
Hilton Howell: Let me just say this. All we know is what we know, right? So what we saw at the last midterm, we didn’t get anywhere near the kind of ad buys that we’re seeing this time around. Whether or not that’s going to continue, we don’t know. I mean it’s – political is the world’s worst category to predict. But when we were here 4 years ago, at the last midterm, we didn’t have these big orders. And they’re coming in daily. Depends on the market, but across our portfolio, we’re getting political ad buys left and right, and big ones.
Patrick Sholl: Okay. Thank you. Then maybe just on the affiliate reverse comp negotiations coming up this year, just how should we think about those? Like when we feel like some of the subscriber trends for the MVPDs starting to at least moderate with some of that in part being influenced by the access to the network streaming services, perhaps influencing from that. So how should we think about that affecting some of these reverse comp negotiations?
Kevin Latek: Pat, it’s one of the talking points in a conversation. We discussed the value we bring they discuss the value that they bring. We discuss our concerns with exclusivity and investments in their DTC products. And they discuss their concerns with us. And it’s all just part of the – it’s just – it’s part of the conversation. So those conversations are ongoing and making progress, but there is a lot of things to discuss. That’s – you’ve hit on one of the topics that is discussed.
Hilton Howell: We are very hopeful that we will renew with all of our network affiliate partners. It’s just we got a lot of them up this year. And so there is a lot of open questions. But we are very hopeful that we will get it renewed and that hopefully, it can be a win-win for both the networks and for the affiliate partners.
Patrick Sholl: Thank you.
Operator: Alright. Next up, we have Craig Huber.
Craig Huber: Thank you. I want to ask about Assembly, Atlanta Assembly. Just can you just give us a little more flavor here on how things are going to sign up new tenants, etcetera? I mean, I think you spent what, upwards, maybe $600 million on this. When do you think you are going to start to get a proper return on this? Just talking through how you are thinking? And I know it’s a tough environment, but just talk me through when you think you might get sort of...
Hilton Howell: I think it’s rolling through as we speak, actually. We probably have somewhere near 8, maybe 9 productions that are actively shooting at Assembly. It’s roughly between 21 – we’re guessing this, 2,100 and 2,600 folks on the lot. It’s really exciting, as I mentioned last quarter. Two of the shows that are shot at Assembly are airing on our CBS portfolio and our NBC portfolios. Those would be – I mentioned in my opening comments, beyond the gates on CBS, a new daytime soap opera, which we’re extremely proud of. And then also pretty very excited about is Grosse Pointe Garden Society that airs on our NBC affiliates across the country. And that’s in addition to a tremendous number of productions that are being shot that will be going to streaming or to theaters and all the rest. It was very clear in terms of what we were going to do that we had to get the film production business up and maturing. And while the studios have been open for a year, honestly, the truth of it is, Craig, it was last August when all the strikes kind of came to a sort of final fruition before we even got anything in to get going because we have a long-term lease with our partner, NBCUniversal, the strikes just slowed down everything in Hollywood nationwide. And so we haven’t really been operating for a year. And so also in my opening comments, we haven’t added 80 acres that is going to be opening up for us. One of the places that we know will be out there that we will be monetizing at the very beginning of 2026, hopefully, with the World Cup, is our band show and the park that’s out there because we’ll be hosting watching parties for the World Cup for the Atlanta audiences here in the city. Of course, Atlanta is one of the semifinal host cities. And then there is a tremendous number of other opportunities that we have to fully invest and produce the income on that $600 million. Because you’ve got to remember, that number includes the purchase of all the land, not just the studio portion. If we had prorated it out and said, all right, this is the 50 acres, and this is the revenue we’re getting out of the amount of the studios, that’s one return. There is a lot of returns that are going to be arriving as we finish out what we’re doing in what I call Phase 2. But we are going to be very slow about that. We don’t feel any rush. And sometimes, we think these decisions that some real estate folks do is a little bit precipitous. And so we are going to be cautious and make sure we are doing the right thing. I think you are going to be impressed with what you hear through the course of this year.
Jeffrey Gignac: Yes. And Craig, it’s Jeff, if I could just address it from a financial point of view. So, in terms of getting the rest of the studios leased up, there are – the number of inquiries are plentiful. We don’t want to announce anything specific until we have a signed lease. On an operational basis, it is contributing. Obviously, we would like it to be higher, but it’s contributing at this point. And you can see in our guide both for first quarter and this quarter, that on a net basis, we think that it will be zero additional capital investment. There are some returns coming as we transition some parts of the public use to the government where there is some rebate money that comes in from that. So, on a net basis, we think it’s capital neutral this year. And every time we sign a new lease, it’s real estate. So, it’s a high contribution on each additional lease that we get signed.
Craig Huber: I appreciate that. Maybe can you maybe give us a sense of what percentage of the square footage is leased out at this point, if you are willing?
Hilton Howell: It’s about – I mean I think we are offering about a 75% to 80% occupancy rate. And we have another 20% that we can fully fill up. And I don’t know what’s going to happen. I mean the President made tweets on Sunday about foreign tariffs. But the requests that we have are our region, and so we are taking them step-by-step.
Craig Huber: Okay. I appreciate that. Thank you, guys.
Operator: Alright. Next up, we have Alan Gould.
Alan Gould: Thanks for taking my question. First for Kevin, how much of an impact would allowing Gray to directly negotiate with the virtual MVPDs have on your net re-trans revenue? And then I have a follow-up after that.
Kevin Latek: It would be – I would say this, the delta between what we charge a traditional MVPD and what we get paid from the networks on the virtuals is significant. I am not sure if the law changed today that we would have the ability to tomorrow renegotiate those virtual agreements at the higher rate without also paying some more to the networks. So, I don’t know what this sort of net impact would be. The gross impact would be significant.
Alan Gould: Okay. And then a follow-up on the assembly, just curious, it’s been in production for – it’s been operational for about a year. You say you are 75%, 80% booked up. I am just wondering why the guide for production company’s revenue is basically flat year-over-year.
Hilton Howell: We don’t really update it based until we get signed leases, so…
Jeffrey Gignac: Yes. There is – so production companies is the studio properties as well as some other production companies, Raycom and Tupelo Media. And so when we compare where we are at until we have signed new business on either one of those, we are projecting – you can see what the guide is on a year-over-year basis.
Alan Gould: Okay. Thank you.
Jeffrey Gignac: Yes.
Operator: Alright. Next up, we have Steven Cahall.
Steven Cahall: Thank you. So, you talked about your – I think biggest kind of deregulation opportunity is looking at swaps and duopolies. I am just wondering if you are also open to something that’s more strategic. I realize it would have to be equity-based, given that with the balance sheet, you are probably not going to be paying cash for anything sizable. But are you open to finding opportunities, especially if it includes a lot of duopolies that are more structured on an equity basis? So, that’s the first. And then second, Jeff, just wondering with the increased capacity you have under the RCF and the accounts receivable, how much between that and free cash flow do you think you can do in debt repurchases this year, especially if you continue to see debt at attractive prices in the market?
Hilton Howell: Steven, let me just begin a little bit. When we started our second big round of M&A., we actually did a lot of deals. The first one really was the Hoak transaction that we started with a higher leverage ratio, and we had deleveraging transactions that helped to delever the trends. So, I think there is a lot of potential opportunities for us to do strategic transactions with a variety of different sort of structures. So, we are looking at all kinds of things. I think the first sort of opportunities would likely be if we can find a way to get them to the finish line would be swaps because that’s just assets-for-assets. But those are always hard to get done. But we are moving aggressively on all fronts.
Jeffrey Gignac: Yes, Steven, and I think there is a little bit of interrelation between the two questions. I mean we can do some of the smaller – we could do some of the smaller transactions. There is a plentiful number of opportunities out there to look at. And if there is something that’s strategically important to us, I wouldn’t rule us out as a cash buyer on some of that in addition to, as Hilton said, the guiding principle for us is potentially using M&A to delever. And you can – that can be a combination of – for the right transaction, it could be a combination of things. So, in terms of where we go directly with the extra proceeds, I think it’s wherever we can get the most bang for the buck. This morning, it appears that a lot of people beat us to market on being able to go buy back debt. So, look, we will see where things settle out, and we have the liquidity. We are obviously managing the capital structure, I think in a very judicious way. And we will continue to do so and be mindful of near-term maturities relative to longer term opportunities to capture larger discounts.
Hilton Howell: Hey Steven, it all goes back to every deal is different, right, because there is different synergies with each different transaction.
Steven Cahall: Thank you.
Operator: [Operator Instructions] With the final one in queue so far, David Hamburger. Your line is now open.
David Hamburger: Hi. Thank you very much. I have two questions. One is a follow-up to the last question. But first, the cost-cutting effort, I believe, Kevin, you had mentioned that you have realized $60 million or at least you have – see visibility to the $60 million in reduction of costs. I am wondering if you could just elaborate. It looks like costs were down nominally in the first quarter. It looks like second quarter, not down very much. When do we start to see that kind of in the station expense line item? And then is there an opportunity to drive costs down even further than that?
Jeffrey Gignac: Yes. It’s Jeff, David. I will take it and others can weigh in as well. So, yes, so we have taken all of the actions that made up the $60 million that we announced. So, when we say we have achieved or even exceeded that $60 million number, that’s – everything we identified has been implemented. So, now you will see it flow into the numbers. I would say some of the cost items are not perfectly linear, and we said at the beginning of this exercise that the goal here was to get expenses ideally to be negative, but also at a minimum, get below inflationary levels. And so our guide for second quarter is below inflationary levels. We are continuing to evaluate it every day. And if there is other things that we see that are out there, there is a sense of – everybody understands the importance of it as we run the business and especially with the top line trends. So, we are not stopping just because we “achieve the number” we will see that flow through prospectively as we move through the year. But not plans at this point, where there will be a second round of announcements of any wide-ranging things. I mean it’s – it will be continuing to optimize the business, frankly, just being good stewards of the business and thinking about how we manage it over time.
David Hamburger: And then I guess just with corporate expenses, it looked like it was up a little bit year-over-year, is there anything kind of notable there particularly?
Jeffrey Gignac: I wouldn’t say anything that’s notable. I mean they can bounce around a little bit. They are not always – things aren’t always perfectly linear. So, nothing really notable, it could be a couple of million, can bounce around throughout the year.
David Hamburger: And then just finally on the AR securitization, it looks like you drew on the $100 million in the quarter, the cash balance for the company is up to $210 million. So, it looks like notwithstanding the $17 million of debt you reduced, the vast majority of that is sitting on the balance sheet. Is there anything near-term for which you require kind of more elevated cash balance on the balance sheet?
Jeffrey Gignac: No. Well, look, the AR facility is also a revolving facility. So, it’s a very nice source of inexpensive liquidity for us. You have seen what we have done in open market and par repayments of debt. We do have some – we have some smaller maturities later – regular amortization stuff later this year and a small maturity next year. And then we will see where things are at in terms of where to deploy it next, whether it’s more open market repurchases or some of it gets used along the way if we identify interesting tuck-in type acquisitions. But to more directly answer the question, we don’t need $200 million of cash sitting on the balance sheet. And it’s not – we are going to – we can either pay down the AR facility or deploy it elsewhere as we see opportunities.
David Hamburger: Okay. Thank you very much.
Hilton Howell: Alright. Well, thank you, operator and thank you everyone for joining us this afternoon. I know you guys had a lot to listen to, because I know there has been calls sort of on the hour, every hour today. But we really appreciate you spending time with us, and we look forward to talking to you next quarter.
Operator: And with that, ladies and gentlemen, this does conclude your call. You may now disconnect your lines and thank you again for joining us today.